Operator: Good day and thank you for standing by. Welcome to the Weibo Reports Second Quarter 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. And after the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your first speaker for today, Ms. [indiscernible]. Thank you. Please go ahead.
Unidentified Company Representative: Thank you, operator. Welcome to Weibo's second quarter 2021 earnings conference call. Joining our call today are our Chief Executive Officer, Gaofei Wang, and our Chief Financial Officer, Fei Cao. The conference call is also being broadcast on the Internet and is available through Weibo's IR website. Before the management remarks, I would like to read you the Safe Harbor statement in connection with today's conference call. During today's conference call, we may make forward-looking statements, statements that are not historical facts, including statements of our beliefs and expectations. Forward-looking statements involve inherent risks and uncertainties. A number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. Weibo assumes no obligation to update the forward-looking statements in this conference call and elsewhere. Further information regarding this and other risks is included in Weibo's annual report on 20-F and other filings with the SEC. All the information provided in this press release is occurring as of the date hereof. Weibo assumes no obligation to update such information, except as required under applicable law. Additionally, I'd like to remind you that our discussion today includes certain non-GAAP measures, which excludes stock-based compensation and certain other expenses. We use non-GAAP financial measures to gain a better understanding of Weibo's comparative operating performance and future prospects. Our non-GAAP financials excludes certain expenses, gains or losses, and other items that are not expected to result in future cash payments or are non-recurring in nature or are not indicative of our core operating results and our outlook. Please refer to our press release for more information about our non-GAAP measures. Following management prepared remarks, we'll open the lines for a brief Q&A session. With this, I would like to turn the call over to our CEO, Gaofei Wang.
Gaofei Wang: [Foreign Language] Thank you. Hello, everyone. And welcome to Weibo's second quarter 2021 earnings conference call. [Foreign Language] On today's call, I will share with you highlights in Weibo's user, product and monetization in the second quarter of 2021. [Foreign Language] On the user front, Weibo's MAUs reached 566 million and average DAUs reached 246 million in June 2021, adding approximately 43 million and 16 million users year-over-year and quarter-over-quarter respectively, which represented the highest net addition number among the recent four quarters. In June, 94% of Weibo's MAU came from mobile. [Foreign Language] On the monetization front, leveraging further optimization in our competitive strategy and ad product offerings for cine industries, our total revenues reached $574.5 million in the second quarter, an increase of 48% year-over-year. Advertising and marketing revenues reached $502.3 million, an increase of 47% year-over-year. 94% of our ad revenues came from mobile. Our non-GAAP operating income in the second quarter reached $223.2 million [Foreign Language] Next, let me elaborate on our progress made in the areas of product and monetization in Q2. [Foreign Language] On the product front, starting from 2021, we have further enhanced Weibo's differentiated platform in key features such as social functions and hot trends. Coupled with effective channel strategies, we have further grown our user base and engagement. Meanwhile, we beefed up the investments in video products to reinforce users' mindset of using Weibo for video posting and consumption, so as to enhance our product's competitiveness. [Foreign Language] On the channel front, we backed up our channel investment with focus on improving user engagement, leveraging Weibo's advantage in user acquisition costs. Meanwhile, we reinforced the synergy between channel investment and subsequent content consumption, and thereby improving user engagement and retention with better consumption experience and retention of our channel users with better cooperation with major channel partners, such as handset manufacturers and operators in the areas of social features, hot trends and vertical content [indiscernible] in the second quarter.  User content partnership would not only increase Weibo's user acquisition scale from major channels and elevate our [indiscernible], but also create synergies to both parties' ecosystems, which enabled us to further strengthen our partnership. As a result, the number of users we acquire from channel partners more than doubled in Q [ph] and year-over-year with nice user engagement levels.  [Foreign Language] On the product front, I'd like to share with you our key initiatives on Weibo's information feeds and video. On information feeds, our core strategy in 2021 is to enhance Weibo's key social features and competitiveness, and thus drive users' business and interaction among Weibo's core user group.  For relationship-based fee, in the second quarter, we further strengthened the data mining and distribution of quality social content, and thus improved our content diversity and the consumption experience. With stronger social attributes, we're pleased to see significantly higher social interaction level, leading to better consumption and retention based on relationship-based fee.  In addition, DAUs of our Super Topic product continues to grow rapidly in the second quarter. Particularly, we're encouraged to see notable growth in verticals such as gaming, TV series, and variety show and campus [indiscernible], demonstrating users' robust demand on the interest based social front. The Super Topic products has not only driven users social stickiness on Weibo, but also shed light on our roadmap to further optimize our fee products.  For usage-based fee, in the second quarter, thanks to tech optimization in our recommendation system, we give more weight to video content in content distribution for interest-based fees to further serve users' consumption needs. We're accepting a new version of interest-base fees based on a revamped video recommendation system, which hopefully will be launched in the second half of the year.  [Foreign Language] Moving on to video, in 2021, we focused on accelerating the content visualization for Weibo's content creators through our video accounts program, and thus increased video content generation and consistent. Meanwhile, we advertised our cultivating users mindset of using Weibo for video consumption through [indiscernible]. Leveraging ongoing progress made in our video accounts program, we are pleased to see the further visualization trend among content creators.  As of June, the number of registered video accounts surpassed the 10 million mark, among which over 30,000 already had more than 1 million followers. As a result, the number of original video submission under the video account program more than doubled quarter-over-quarter. The substantial growth in video accounts not only enable us to enhance video content exposure and consumption in core feeds, but also help us to continuously optimize our recommendation capabilities around video content as best to further improve the overall video distribution efficiency, especially in video community and video recommendation feeds.  Currently, we're pleased to see an uplift in users' consumption [indiscernible] in our video community and video recommendations feeds compared with the end of last year, which also brought forth incremental ad inventory in video recommendations feeds.  On live streaming, we launched the feature of joint mic live streaming in the first quarter and continuously refine its functions. We're encouraged to see a wider recommendation among Weibo's top content creators on the product in the second quarter.  Top media agencies and a number of KOLs have already used this feature for regular content generation to build up IPs and boost fan stickiness as such format measure could effectively lower the barrier of video and live streaming generation for those traditionally text and picture based offers. Looking forward, we'll set up our investment around key joint mic live streaming IPs to strengthen the brand recognition of Weibo's live streaming feature and further drive user engagement. [Foreign Language] Let me share with you more color on our monetization strategies and progress made this quarter. In 2021, we will further strengthen the competitive edge of our social app products, solidify our industry-specific marketing capabilities, and unleash the potential and efficiency of traffic monetization, so as we improve Weibo's monetization scale and market competitiveness. [Foreign Language] From an industry perspective, our ad revenues increased 47% year-over-year in the second quarter, benefiting from the recovery of overall marketing demand as well as improvements in our industry-specific ad offerings for key sectors.  Leveraging our unique competitive edge in the market, we continue to deliver robust year-over-year growth in key sectors. For example, FMCG sector such as food and beverage and beauty and personal care booked solid growth in the first half of the year. Based upon years of experience in these key sectors and our platform value proposition, Weibo has developed a unique marketing playbook and refine our service capabilities, and thus continuously improve our ad performance.  In addition to the commercial brand industry, we have also developed our capabilities to serve the brand cross performance marketing needs of sectors such as gaming and e-commerce. With the further synergies as our sales and operation teams, our ad offerings and service earned better recognition among customers, leading to strong growth in both the branding and performance driven ad dollars from these key sectors. [Foreign Language] On the ad product front, in the second quarter, we'll continue to innovate Weibo's differentiated content marketing offerings, while optimizing feed ad products to enhance our monetization efficiency.  On content marketing, in 2021, apart from sectors such as FMCG, automobile and cellphone, we have also gradually extended content marketing to the gaming industry, which used to be a purely performance-driven sector. We helped customers drive more topic discussions around their newly launched games, as well as accumulate social assets and engagement. As a result, we successfully tapped into higher ad wallet in the gaming sector as such content marketing offerings resonated greatly with customers' needs.  For example, half a month upon launch of the blockbuster game [indiscernible], the cumulative views and discussions around related topics reached around 5 billion and over 1.3 million respectively. Followers of these official accounts increased by nearly three times within half a month. These content marketing ad offerings effectively entice customers to raise their brand and content budget on Weibo.  Our feed ad product, leveraging refined traffic distribution capabilities with the better matched traffic of higher conversion potential with performance driven industry, so as to maximize our feed monetization efficiency. Moreover, we continue to improve our tech capabilities of ad products for performance-based industries, such as gaming and e-commerce, leading to a notable growth eCPM of each of these industries on an annual basis. [Foreign Language] Next, let me share our thoughts on regulatory impact facing the overall advertising industry. In the first half of 2021, government departments have gradually tightened regulation on the launch spring ad format, and we have taken a proactive approach in product rectification accordingly.  In the short term, we expect that such rectification may impact on our launch spring campaigns of certain performance driven customers. That said, as for Weibo, revenue contribution from performance based launch spring ad is relatively low, and such impact on our overall advertising revenue is manageable.  We also believe that the industry norm on ad formats will facilitate the healthy growth of internet companies in the long run, with such standards gradually affected and implemented in the entire market.  Also, let's talk about education. In the context of more rigid compliance requirements facing the overall internet industry, the tightening regulation on K-12 educators face impact on their marketing demands, with top tier education customers cut back or even cease their campaigns. That said, the education sector only took less than 2% of our total ad revenue in the first half of the year. And thus, our risk exposure is quite limited.  In light of recent policies, we will take steps to further optimize our sales structure for customers in the Internet sector and deepen our efforts to tap into the incremental ad wallet of the emerging consumption economy.  Finally, we pointed out Apple's new [indiscernible] policy as a potential headwind last quarter, and let me give you an update so far. Leveraging model training and optimization, our alternative approach delivers solid attribution results, and thus have earned recognition among our customers gradually. As such, the impact from [indiscernible] has been less than widely feared as well as our own expectation. [Foreign Language] Lastly, let me take this opportunity to share with you the momentum we've seen during the recent Tokyo Olympic Games. Leveraging Weibo's unique positioning to serve public conversation and our massive user scale, we're encouraged to see strong momentum in key metrics, such as hot trends, topic discussion and engagement of athletes' accounts.  Built upon years of cultivation on our sports ecosystem around athletes, media and professionals, Weibo has become the go to platform for Chinese Olympic teams to join on and for our users find media updates and discussion around Olympics-related topics.  As a result, Weibo's MAUs, traffic and interaction all reached record high in July 2021, giving us confidence in further reinforcing our competitive moat based on unique value proposition. [Foreign Language] Furthermore, on the monetization front, we're delighted to see the [indiscernible] momentum in the first half of the year continuing into the third quarter. For instance, our differentiated social marketing playbook featuring hot trends and athlete endorsements resonated greatly with the Olympic Games sponsors such as ANTA, which enabled us to capture higher brand cross performance ad customers and their wallet. With such good momentum, we are well positioned to tap into incremental marketing opportunities in the second half of the year.  [Foreign Language] With that, let me turn the call over to Fei Cao for a financial review. 
Fei Cao : Thank you, Gaofei. And hello, everyone. Welcome to Weibo's second quarter 2021 earnings conference call.  Let's start with user metrics. In June 2021, Weibo's MAUs and average DAUs reached 566 million and 246 million respectively, both surpassing the peak level in March 2020 during the pandemic outbreak. On an annual basis, we had a net addition of approximately 43 million MAUS and 16 million DAUs, a notable reacceleration compared with prior quarters, leveraging our strength in serving public conversation, initiatives on video front as well as the effective channel investment. Turning to financials. As a reminder, my prepared remarks will focus on non-GAAP results and old comparisons on a year-over-year, unless otherwise noted.  Now, let me walk you through our financial highlights for the second quarter of 2021. Weibo's second quarter 2021 net revenues were $574.5 million, an increase of 48%, exceeding the high end of our guidance.  Operating income was $223.2 million, an increase of 83%, representing an operating margin of 39%. Net income attributable to Weibo reached $182.8 million, an increase of 60%, representing a nice margin of 32%.  Diluted EPS was $0.79 compared to $0.15 in second quarter 2020.  Now, let me give you more color on revenues. Weibo's advertising and marketing revenues for the second quarter 2021 increased 47% to $502.3 million. Mobile ad revenues were $417.3 million, contributing approximately 94% of total ad revenues, up from 89% last year. On top of good user momentum, Weibo delivered joint ad revenue growth with monetization scale reaching a record high.  We're delighted to see broad-based strength across key verticals. In terms of revenue contribution, our top three verticals were FMCG, e-commerce and 3C products. Leveraging the e-commerce peak season, Weibo reinforced its unique value proposition to advertisers in serving their integrated branding plus performance needs, and thus tapped into incremental ad [indiscernible] industry.  In terms of growth, the fastest growth in verticals were luxury and 3C products as Weibo has become the go to platform for these sector's to capture the hearts and minds of Generation Z users who hold the next generation of consumption powering China.  From the ad product perspective, promoted feeds continues to be the largest part, followed by social display ad and other ad offerings, such as promoted trends and topics. Our [indiscernible] social marketing product delivered a competitive ROI and resonated greatly with brands and merchants, leading to healthy growth for each of these product categories. In particular, revenues from promoted channels and topic products continued to lead growth among major ad products, with customers embracing the sweet spot of our traffic and utilized the differentiated native ad format for brand exposure, interest conversation and conversion. Additionally, we also deliver the robust video ad growth built upon a higher penetration of video content and ongoing optimization of video ad offerings.  Overall speaking, we are pleased with current demand versus supply dynamics, where our ad revenue was driven by both incremental monetizable traffic and the positive eCPM trend on a year-over-year basis.  Ad revenues from Alibaba for the second quarter increased 12% to $40 million, a moderate slowdown in terms of growth rate. As communicated earlier, ad spend from Alibaba highly correlated to its own marketing strategies, and that may fluctuate quarter to quarter. That said, our cooperation with Alibaba positions us well to capitalize our ongoing digitalization trend and the general value for brands and merchants on both platforms.  Value-added service, VAS, revenues was $72.1 million in the second quarter, an increase of 54%, primarily attributable to the revenues derived from the Interactive Entertainment Company acquired in November 2020, as well as increasing revenue generated from our gaming business.  Turning to costs and expenses, total costs and expenses for the second quarter were $351.2 million, an increase of 32%. The increase was primarily due to step up in marketing spend and higher personnel related costs. Operating income in the second quarter increased 83% to $223.2 million. Operating margin was 39%, up from 31% last year, exceeding our expectation. We are pleased with further operating efficiency achieved by our platform this quarter and we will focus on keeping a good balance between investment for growth and margin performance for the company's development in the long run.  Turning to income tax, a GAAP measure. Income tax expense for the second quarter was $46.9 million compared to $40.7 million last year.  Net income attributable to Weibo in the second quarter was $182.8 million, representing a net margin of 32% compared to 30% last year.  Turning to our balance sheet and cash flow items. As of June 30, 2021, Weibo's cash, cash equivalents and short-term investments totaled $2.9 billion compared to $3.5 billion as of December 31, 2020. The decrease was primarily resulted from investment activities made during the first half of 2021 and was partially offset by cash provided by operating activities.  In the second quarter of 2021, cash provided by operating activities was $94.1 million. Capital expenditures totaled $9.5 million, and depreciation and amortization expenses amounted to $13.6 million.  Lastly, let's talk about our financial outlook. We anticipate our third quarter of 2021 revenues to increase by 20% to 25% year-over-year on a constant currency basis. This book also reflects Weibo's current and preliminary review, and is subject to change.  With that, let me now turn the call over to the operator for the Q&A session. 
Operator: [Operator Instructions]. First question is from the line of Thomas Chong of Jefferies. 
Thomas Chong: [Foreign Language] Congratulations on a very strong set of results and strong revenue guidance. I have three questions. My first question is about the second half advertising outlook. And followed after that, can management also comment about our assessment about the impact on the pop-up ads in open app ads as well as education regulations, together with more cautious industry outlook in the property, auto as well as travel sector.  And my third question is about our feedback. Can management comment about the growth drivers, such as pricing as well as inventory? 
Gaofei Wang: [Foreign Language] Let me, first of all, answer the question about the drivers of the growth in the second half of this year. So, as you can see, even though we had the factor that, last year, we had a pandemic and base number was pretty low, however, if we're talking about the year-on-year performance comparing with the same period in 2019, we're still enjoying 36% to 40% of the growth. And also, in Q1, we are also accelerating the growth, overall speaking. As a result, what you can see is that talking about our strong abilities, especially talking about the commercial marketing capabilities, and especially we have a marketing strategy of focusing on the content and hot topic marketing and also the combination of brand and performance. So, what you're going to see is that in almost all industries, we enjoy pretty good growth on the app. And especially, in FMCG, which is a very promising industry, we enjoy over 50% of the growth. And also, in those not-that-promising kind of industries, for example, in digital and also automobile, still we enjoy 50% and more growth. So, as a result, what you can see is that we really focus on a lot the sales and also products as well, and especially targeting those industries with a great amount of combination and synergy between brand and performance as well. So, this particular method has been highly recognized by the customers. [Foreign Language] And also, second of all, I would like to comment on the other aspects, especially talking about the inventory and also the product of the ad. So, what you can see is that, in the remark, we already mentioned that, in the first half, we had actually a very good inventory created for the – because of the increase on the video part and the video consumption and also the ad load, et cetera, of that particular new inventory is very high. And also, another thing is that for the Tokyo Olympics, which happened in July and also August, what you can see is that we reached the historical high and also peak on the traffic and data. And also, this particular traffic is still increasing even after the Olympics. And also, this is a very good direction for the future.  And also, third of all, we are talking about the kind of products, so not only we are talking about the particular ad product of combining ad performance and also the branding as well, but also we're talking about the marketing related ad for brand and content as well. This has been also highly recognized by our customers and also becoming one of the major drivers for our further growth. [Foreign Language] And also, what you can see is about the price. So, since the second half of last year, what you can see is that we were increasing the demand from the core industries and also because of the improvement of our FenSiTong, FST, we can see that the performance increased. And also, talking about those others, like performance-driven industries, like the gaming and also e-commerce, because we have optimized our technologies and also service provided, we can see a very good growth on the ECM, and especially enjoying a double-digit growth on the ECM. [Foreign Language] And also, as you have talked to us about some negative factors happening in the second half, especially to the education industry and also real estate, so, of course, that is true that we have been seeing a decrease over the planning on the customers in those industries in terms of their marketing plans. However, as I have already stated, for example, education industry only accounted for about only less than 2% of our total product. So, I think that this particular impact was pretty much controllable. [Foreign Language] And also, lastly, talking about the flash ad or the pop-up ad, so I think it is true that the rectification of this pop-up ad really had a big impact of some of the impact over the whole industry, including Weibo. So, majorly reflected in the factor that the click rate actually has been reduced. And also, that is primarily impacting and influencing those customers with the performance oriented plan. However, what you can see is that our major ad customers are still focusing on branding and also the brand effectiveness. So, they would like to care more about exposure rather than the clicks. And also, percentage wise, it's pretty much limited. So, as a result, I think that the impact is pretty much within the control scope. [Foreign Language] And also, from Weibo's own perspective, I think that in the guidance covering the Q3 performance, we have already truthfully reflected and all also evaluated the most strict regulations happening now in the education industry and also the pop-up ad industry. So, that is to say that without those kind of effectors, we should have been enjoying a higher and stronger growth in Q3 and also second half of 2021. So, however, still from the Weibo's perspective, we're going to continue the optimization of our ad model, especially talking about the pop-up ad, we're going to actually have a better research over the new models and also the new recommendation algorithms. For example, try to minimize the impact to the lowest level. So, of course, those kind of plans are still in the implementation and research phase, so that we're not showing them in the new guidance for the future growth.
Thomas Chong: Congratulations again. 
Operator: Our next question is from the line of Alex Ko of Morgan Stanley. 
Alex Ko: [Foreign Language] Congrats on the solid results. So, on the user front, we had a strong quarter with accelerated pace of growth. Can management share what we have observed quarter-to-date and the expectation in the following quarters.  We're also aware Weibo recently launched a rectification on Fandom. So, how would that impact the user growth and traffic in the second half of this year?
Gaofei Wang: [Foreign Language] And also, first of all, I would like to comment on the very first part of the question, especially talking about the growth – talking about traffic and also the future users. So, since Q4 of last year, we have already stated that we are going to invest and also focus more on the users acquisition as well as the users cost of acquisition and also the retention as well. So, first of all, in terms of the channels, we have been collaborating more widely with those different brands and also operators as well as the other apps. So, the user volume from this particular channel has been increased for about two times.  And also, the next thing is that in terms of the strategy optimization, as well as our improvement over the user retention, et cetera, we have been reducing the overall cost of the user acquisition. So, as a result, what we can see is not a significant increase in terms of investment paid into this particular area.  [Foreign Language] And also, what we can see is that talking about the products, as we have already stated that because of the generation of the interest feed and also the super topic and also growth on that, as well as the very good growth over the relationship based feed, we can see is that we have further improved the activity engagement of the users, as well as the total kind of a user number. So, for example, because of a lot of hot topics and also some of the big events happening, we can see is that comparing with those platforms offering short videos or long videos, on Weibo, we can have a better attention trap to the customers and also users. And also, we are going to trigger a better discussion and wider discussion and more focus on Weibo on those super topics and important events. So, that is the result that, after the Olympics, we can actually have a very good retention of the users and also very good increase on the users volume.  So, what we can see is that we can forecast a pretty good result in this particular area in Q3 and also even forward. So, that is to say that, even though Weibo already has a pretty high Internet penetration, however, still, we think it's quite promising for Weibo to actually grow the user and also the user retention in the second half and also in the medium to long term.  [Foreign Language] And also, second of all, you have mentioned something about the rectification of the Fandom. So, what we can see is that if you pay close attention to the announcement made by Weibo, we do not actually start paying attention to this particular Fandom rectification starting from this year, but actually from 2020 Q2 where it started pay attention a lot and started rectification over the Fandom in this particular industry. So, that is to say that, for example, we are already changing and adjusting the operation of this particular area. Especially, we're managing those KOL agents, as well as their fans as well. So, we are encouraging more KOLs to really participate in those charity programs and activities as well as those positive energy-oriented activities. So, that is to say that, as of mid-year of last year until as of now, we have been already publishing over 40 different announcements of the working related to the rectification of the Fandom.  [Foreign Language] And also, it is true that Weibo is actually a kind of ecosystem and also a kind of user platform that is pretty much focusing on one of the important verticals, which is entertainment. And, of course, since last year, we've been seeing that because of this justification and adjustment made on those functions, as well as the new launch of some of the products. We did receive some of the impacts to this particular entertainment and also to our performance because of something happening in the entertainment industry. However, the thing is that talking about, for example, last year second half and also Q1 of this year, we've been closing down some of the accounts and also try to rectify the content and also try to manage the fans and also the KOLs, et cetera. So, that is to say that a very good example would be that, among the hot research and hot topics, entertainment accounted – used to account for about 30% to 40%. But now, in Q2 of this year, entertainment topics only accounted for about 25% of those hot research and hot searches. So, that is to say that, from the second half of last year until the Q1, we did receive some of the impacts, but we believe that this particular rectification and also regulation is pretty much important to really strengthen and try to regulate the whole ecosystem that Weibo has. [Foreign Language] And also, talking about this particular rectification of the Fandom, I think that this is a very important thing happening to regulate the whole kind of entertainment industry. And also, as a platform that has been operating in this world for about 10 years already, we have been already witnessing the fluctuations and ups and downs of the entertainment industry. And also, what we are trying to do is also try to observe a further optimized regulation post against this entertainment industry. And also, during the past 10 years or so, we've been collaborating actively and communicated actively with the government to really trying to understand the latest trend and also try to understand the latest requirements upon the ecosystem that we have. So, we are very much proactively optimizing and also changing our operating strategies. So, not only this is really helpful for us to regulate Weibo internally, but also this is a very good thing to regulate the whole industry and also beneficial to the whole industry to really grow on a sustainable cause.
Operator: Our next question is from the line of Miranda Zhuang of Bank of America. 
Miranda Zhuang: My question is about the video business. Can management elaborate more on the initiatives for Weibo's video ecosystem? For example, the expansion of the content category, the assistance for the content creation and content distribution, and how does Weibo video compete with other video platforms with different value propositions? And also, can you provide more color on the development of the video ad monetization?
Gaofei Wang: First of all, talking about the whole ecosystem, as we have already stated that, in 2021, our ecosystem will be pretty much focusing on the development of the video accounts. And also, we are encouraging more video creators to opening up their accounts and also further to boost the consumption as well as the supply of the video products. So, as we have already stated that we are exceeding 10 million as the threshold of all the video creators and also 30,000 of them had already the followers reaching 1 million. So, that is to say that, in Q2, quarter on quarter, we can see that we nearly doubled this particular volume of the videos created.  [Foreign Language] And also, next thing is about the kind of total consumption of the videos. So, that is to say that we are still leveraging the advantage of Weibo as a social media platform, which is a very important one and to really trigger the consumption of the videos and also the other kinds because what you can see that is that go along with the consumption of videos, we also have the consumptions by the users to the text and images, et cetera. And also, what you can see is that we are really triggering more kind of topics, as well as the consumption of videos around the social media platform. And also, we are really encouraging more KOLs and also the other media to really disseminate those knowledges and also those videos as well as the content as well. So, that is to say that we are trying our best to diversify the content that we are providing through Weibo. So, a very good example is that, during the Olympics, what you can see is that not only we can see people's and also users consumption around the videos, short videos, for example, as well as the other live streaming, but also all the discussions triggered by that is pretty much around the video as a product. So, that is one of the major differentiating strategies and also unique selling points of Weibo.  [Foreign Language] And also, furthermore, in terms of the ad monetization, what we can see is that with the increasing of the number of video accounts and also the increasing traffic, we can see a very good contribution to our ad inventory. And also, we see more customers post their ads on us and also place their ads on us. So, with also the enabling of the full screen ad, we can see a kind of more placement as well as the enhancement of the efficiency of the advertisement. So, that is to say that, in Q2, we had enjoyed a higher growth on the video ad than the other format of the ad. And now the video ad already accounted for about one-third of our total ad products and formats.
Operator: All right. Thank you. As there are no further questions, I'd like to hand the conference back to the management for closing remarks. Please continue. 
Unidentified Company Representative: Yes, thank you for joining us today. See you next quarter. 
Operator: Thank you. And this concludes today's conference call. Thank you for participating. You now all disconnect.